Operator: Good day, and welcome to the Golar LNG Limited Q4 2017 Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Brian Tienzo. Please go ahead, sir.
Brian Tienzo: Thank you, moderator, and good afternoon and good morning to you all. Welcome to Golar LNG’s fourth quarter earnings call. As a moderator said my name is Brian Tienzo. I’m joined by our new CEO, Iain Ross; and our Head of Investor Relations, Stuart Buchanan. And without further ado, let’s go to the presentation by skipping over Page 2 and going over to Page 3 for the financial highlights. So we report EBITDA of $19.4 million net income of $3.8 million for quarter ended 31 December, 2017. In contrast to EBITDA and net loss for 3Q were negative $5.5 million and $43.9 million, respectively. EBITDA for the quarter has improved materially compared to the previous quarter and has been helped by increased in vessel utilization, which, in turn, has caused rates to go up. And of course, the demand for ships during the quarter has also led to round-trip economics. You will note that the Golar Grand charter back from Golar Partners at $90,000 today also seized during the quarter. Referenced to unrealized gain on FLNG derivative relates to the commodity linked revenue on which Hilli, which became relevant when we tendered our notice of readiness in December. Under the Perenco contract Golar benefits and additional revenue accrues were Brent crude is about $60. Going forward, this derivative will be remeasured at each reporting quarter and evaluation arising out of that will be compared to the value of the preceding quarter. The relative increase in the price of oil from its inception to the end of December resulted in a gain of $15.1 million. These positive contributions to EBITDA was somewhat negatively impacted by increase in operating costs due to combination of increased maintenance cost and replenishment of ship spares and other vessel-related expenses. Administration costs also increased this quarter due predominantly to higher project development activity as well as increase and staff costs. However, despite this, positive mark-to-market movements in the valuation of our total return swaps and also interest rate swaps by the end of the quarter has resulted in a positive mixed income. Turning over to the balance sheet now in Page 4. Improvements in shipping revenue and release of cash in the Hilli Episeyo has helped to maintain satisfactory liquidity position in the quarter. There are, of course, significant liquidity events over the next quarters connected to the Hilli and these are as follows: cash flow from commissioning hire from the Hilli and first of tranche of these of actually been received; and for your guidance commissioning hire will not be recognized in income statement. Instead, it will go direct to balance sheet. To date, we have drawn down $640 million from the Hilli debt facility, which means that a further $320 million is available for drawdown. Of this, approximate $140 million is free cash. And there remains a possibility, of course, of dropping down the remaining contract capacity of the Hilli, which could produce up to $180 million in free cash. There is also potential cash flow upside associated with Hilli’s Bret link relating to the commodity linked revenue under the Perenco contract. At $65 per barrel, this equates to approximately $15 million for annum. Once Hilli has produced one year’s LNG supply approximately 1.2 million tons, the LC level will drop to $250 million and is expected to release a further $30 million from the cash collateral. In addition to all of the above, we have seen improvements in shipping rates and utilization whilst we typically see seasonal levering during second quarter, we fully expect the improvement in these as we progressed through the year. The average cash breakeven of our shipping fleet, which covers full debt service in operating cost, is approximately $50,000 per day, and we can’t expect to have surpasses level by the end of the year. I’ll now hand over the presentation to Iain, who will take you through various business franchises.
Iain Ross: Thanks, Brian. Good afternoon, good morning, everyone. Thank you for dialing in. I’d like to take you through three main areas of business focus. Firstly, FLNG and we’ll move to carriers and finally, a round out with FSRU and power. So if we turn to Page 5 of the presentation and the FLNG update. So as a recap, Hilli Episeyo arrived in Cameroon late November 2017. Completed its mooring hook-up connection to the riser and umbilical and then made a cool down cargo transfer from the Golar Bear. Notice of readiness, as Brian said, was tendered in early December. This is an important milestone as it started the commissioning period. And on January 4, we commenced tolling at a reduced of commissioning tariffs, so we cannot confirm that the Hilli has started generating cash. Feed gas is introduced from the onshore processing plant and full commissioning of the gas treatment systems are now substantially complete. Commissioning of the refrigerant trains are still ongoing, and we anticipate commercial production of LNG in the next few days. Whilst we’ve taken longer to get to this stage than the initial plan, and we’ve now used up most of our commissioning phase schedule float, our technical team remains focused on achieving commercial acceptance in mid-April 2018, some six weeks from now. So please note, we won’t to be rushed and things do take a few days longer than we are talking days and not months. Moving on to Fortuna. Our efforts to conclude an acceptable finance package have still not yielded a satisfactory outcome. Therefore, financing remains outstanding. We really believe in this project and on the back of very strong economics for the development, we continue to have confidence the funding will be secured at the acceptable terms. We feel that the imminent commencement of commercial LNG production from Hilli and her subsequent fuel commercial acceptance will assist in the – with the financing dialogue. Reflecting this level of confidence in the project, the Gandria is currently being prepared for a move for layout to Keppel Shipyard this quarter. When she reaches Keppel’s, we will immediately commence inspection work and prepare the ship remediation and upgrade work scope and this will allow us to make some physical progress on the project in addition to the engineering work that is being carried out in parallel. And in other areas of focus for OneLNG. We are continuing to make good progress and have a high degree of confidence that further projects will be advanced this year. So let’s turn to the shipping update. The LNG shipping market continues to tighten and notwithstanding the seasonal softening that we’re currently experiencing, all market assessments indicates that the supply-demand balance will edge towards a structural shortage of carriers over the next two to three years. The main elements of this market tightening to date include firstly, a large demand from China, which has imported an additional 12.8 million tons last year, a growth of some 48%. And sustained or growing volumes from Japan, Korea and India, combined with growing ton miles from a proportionate increase in the volume of U.S.-based exports, supported by an attractive price differential from Henry Hub, whose a JKM, and a lack of promptly available and suitable vessels. All of these factors lead to spot rates north of $80,000 a day by the end of the year, which I understand to be a three-year high, and has been a seasonal softening, as I mentioned in the first quarter of this year, with TFDE spot rates currently around $65,000 a day. We’ve seen this team ship rates being cooled up by the TFDE entries and in response to this, we’ve taken the Golar Viking out of layup during the last month. During 2018, the industry is expecting around 35 million tons per annum of new production to come onstream, a further 33 million tons a year during 2019 and 24 million tons in 2020. Correspondingly, there’s a planned carrier fleet in the entries of 55, 30 and 10 vessels across these years. When the shipping research analyst look at the combination of supply, demand and ton miles, we end up with a shortfall of some 30 ships to 35 ships over the next two to three years. And this lead us to believe we will see continued market tightness and increased rates over the period. Taking a look at FSRUs and the Golar Power. The Sergipe project in Brazil continues to progress on schedule and within budget. Earthworks, civils and foundations are now complete, and we’re moving on to the mechanical erection phase with the first of the modules arriving on site and the delivery positioning, installation of modules continuing through the next quarter. We currently have an in excess of 1,200 people on site. The Golar Nanook remains on target to be delivered to site in Q3 of this year, and we remain confident of closing the two projects finance package this quarter. Turning to the FSRUs, and whilst that market remains competitive, we are managing to position ourselves in some real projects. One of Golar Power’s available conversion candidates is committed to an FSR opportunity, and we expect to hear more about that particular project around mid-April and in addition, discussions are reasonably advanced for an FSRU that will utilize one of Golar Partners steam carriers in a conversion project. Execution would likely be in a joint venture of therefore, with Golar Power and we continue to look at other opportunities and note that Golar Partners previously announced 15-year Atlantic FSRU contract is indicative of the current market for smaller and cheaper FSRUs. We continue to believe that the provision of integrated FSRU and power solutions offers us greater upside than standard – standalone FSRU deals, and so we are still progressing the development of several opportunities across Latin America, West Africa and the Indian subcontinent. So moving to our summary and outlook on Slide 8. Hilli Episeyo is now a cash generating asset. Whilst slower than initially anticipated, commissioning has been relatively straightforward to date. Final commissioning is currently expected in late March 2018 of this year, with customer acceptance testing scheduled for completion in mid-April of 2018. Hire will be receivable at the full rate thereafter which will deliver a $164 million a year in operating cash flow. The 3rd and 4th trains and the Brent-linked cash flows attached to the 1st and 2nd trains represent further upside. Our experience from Hilli conversion and commissioning is being applied to the Fortuna project. Proof of concept following acceptance of Hilli Episeyo is also expected to speed up and open a wider variety of financing alternatives. Some of those alternatives are being actively worked. An initiation of yard works to the Gandria should therefore be viewed as indicative of the Company’s confidence in a final investment decision being reached. The Sergipe project is expected to be cashflow generative in 2020, ahead of Fortuna. At current exchange rates, the company expects to record $105 million per year in operating cash flow in respect of its 25% effective interest in the power station and 50% interest in the FSRU. Options to monetize the FSRU Nanook’s 65% spare capacity represent additional upside for Golar Power. Shipping returns are expected to increase over the course of 2018 as a function of an improved supply-demand balance which is expected to result in higher rates and utilization. This should materially improve cash generation going forward. Against this positive backdrop, the company is investigating options to restructure its shipping business to capture more upside for shareholders from the forthcoming market recovery. TCE rates achieved for the first quarter are marginally up on fourth quarter of 2017. Due to seasonality of the business and timing of new production coming on stream, shareholders should not expect a significant improvement in the rates before third quarter of this year. So with a strong underlying LNG Carrier market, the imminent acceptance of Hilli Episeyo, solid progress on the Sergipe power project and the potential for several FLNG/FSRU projects to reach FID, Golar LNG expects significant earnings growth over the coming years. Thank you for your attention. We’ll now hand back to the operator for questions.
Operator: Thank you. [Operator Instructions] We’ll take our first question from Jon Chappell from Evercore.
Jon Chappell: Thank you. Good afternoon. Iain, thanks for the update on Hilli and Fortuna. I think those are what we considered kind of known catalysts, as we think about maybe the unknown catalyst bucket, Train 3 seems to be very likely as well. Can you just talk to us about the potential timing for Train 3 once there’s proof-of-concept on Trains 1 and 2? In both in regards to, through your conversations with Perenco and SNH when that could be sanctioned? And then also when that could be cash flow generative?
Iain Ross: Thanks Jon. I mean, it’s fair to say that there’s no conversation going to happen until we get Hilli up and running, and I think anything that we talked about now will be purely speculative.
Jon Chappell: That’s fair. My second question then, I know that this is – Golar’s become clearly a midstream FLNG, FSRU story, but the comments around restructuring shipping business being investigated are pretty interesting, especially as the verge of an uptrend in the cycle. Can you help us kind of understand what that would include? Would it be something breaking it off from the current structure, long-term contracts? How can we think about what the upside potential to shareholders would be through this restructuring?
Iain Ross: So on your first point, so yes, rather than thinking about Golar purely as a shipping company, in terms of exposure to LNG, maybe think about us more moving from a cyclic market with its peaks and troughs to a series of businesses that a sustainable and growing cash flows over long durations. So that’s – that means we’re going to be investing preferentially in FLNG and integrated FSRU and power projects rather than pure shipping. So that’s the first point. Longer term, shipping business us with more interest than simply relying on the spot market. In terms of the different structure, the only message I really want to leave is that we’re not going to sit back and enjoy just the higher rates ride on the spot market over the next few years and then we are looking at different ways of generating sustainable growth. And we’re just not, right now, in a position to disclose anymore. I just wanted people to be aware that we are looking at it and actively considering our options there.
Jon Chappell: Okay. Thank you. Thanks for your time Iain.
Iain Ross: Thanks Jon.
Operator: And our next question comes from Michael Webber from Wells Fargo.
Michael Webber: Hey, good morning guys. How are you?
Iain Ross: Hi, Mike.
Michael Webber: First question, just to kind of button up the Hilli. You guys gave a range of acceptance kind of by mid-April. Should we take that to mean you’re confident that gets a little bit in the contracted window and then maybe can you just walk us through the math with our process for, say, we go to be on? Just may be provide some context around what, if any, risk there is around that and how scalable it is, et cetera? So just a bit more color around that period, would be helpful.
Iain Ross: Maybe if I give a little bit of background on what we’ve done to get there. We didn’t give and we never said we were going to give regular updates on the status, because it doesn’t really add value to the conversation. And we – during the commissioning process to date, we have experienced a number of predictable issues that always arise in commissioning but equally, some that we didn’t predict. And really, the two messages around that are: firstly, the commissioning process has multiple fronts, so when we’ve encountered a problem in one area or system, we simply move some of our efforts to advance another part of the schedule whilst dealing with the issue that’s arisen. So an issue schedule has been somewhat influx as the various parts have moved around to enable meaningful progress towards that overall goal. Secondly, to get Hilli up and running to capacity in the first week – in the coming weeks, there’s nothing that we’ve encountered today as giving us any concern that we can achieve that. So they are the two sort of the technical messages. I would – at this point in time, I would like to have some of that schedule float up my sleeves, but we’ve used that up. The team has gotten fund of it a schedule that will allow us to reach commercial acceptance by mid-April, which is our contracted time. And as has been disclosed in the past, in the event that we don’t do that, it’s something in the order of $100,000 a day in LVs over the next, that’s a quite a long time next week and to be not achieve it. So for modeling purposes, I guess, those are the numbers that you would want to know, mid-April, 14th, 15th of April, and if we’re not commercially accepted by them, and there’s a penalty of $100,000 a day, which, of course is offsetting against the income that we’re receiving, so we’re still in a net positive position.
Michael Webber: Got it. Okay. That’s That’s helpful. I appreciate the context around that. Can I get a follow-up around Fortuna, Iain, you mentioned, the you made a point a couple of times in the release, you mentioned that you are moving back in the position despite the fact that a bit more arduous to knock down financing, even though you’ve got an off-take agreement that we should look at that as a positive development. One, I’m just curious whether or not, and then you mentioned, sort of putting some money into it, doing some preliminary work. Are those expenses born by Golar or they born by OneLNG, and I’m going to think implication or some to sharing in those process? And then two, the – should we look at that as an endorsement of the idea that because it’s more or less buttoned up from a commercial perspective, there is a Plan C or D, if you will, to make the project happen, and financing would be not actually looked at as a prerequisite kind of the gate?
Iain Ross: So on the first part of your question, Mike, they – so the vessel work that we’re doing is kind of generic, so that vessel – we’re going to – Golar is going to bear the cost [ph] that initially, it’s not going to be a huge amount of money, I don’t believe. And what we are doing is work – sorry, say it again?
Michael Webber: I’m sorry, you said Golar is going to bear those initial cost.
Iain Ross: Yes. Golar is going to bear the initial cost of this and the reason for that is it simply generic vessel work to get the ship ready for the next phase. It’s work that has to be done and obviously, when the project gets going, it’ll be form part of the project. Brian, you go and any comment on the financing?
Brian Tienzo: I mean, I guess on the financing, as Iain already said, it’s taken much longer than we had hoped. All of the contracts pertaining to the Fortuna project is already in place. We’re not going to go and chase subeconomic financing for a project we believe to be very robust. And so the progress being made in the Hilli, we believe, will help to progress the discussions on the Fortuna financing once there’s – once it’s achieved. So that’s what’s more than chasing financing that’s not necessarily to the advantage of the project.
Michael Webber: Well, I guess the question would be to debt financing necessarily a prerequisite? And then along that the idea that you’re getting into position, is a better decision you make unilaterally or is that something you would talk to some of your JV partners about and everyone’s kind of on the same page and moving forward together?
Iain Ross: No. Clearly, everyone will be on the same page moving forward together. And without relation to speak for our partners on this, everyone’s very, very enthusiastic about the project, and we all have the will to make it happen and really, that’s what we’re trying to focus on. And the move of the Gandria is just nudging the right direction to make sure we don’t lose more time on the project.
Michael Webber: Okay, that’s helpful. I appreciate your time guys, thanks.
Operator: Our next question comes from Fotis Giannakoulis with Morgan Stanley.
Fotis Giannakoulis: Yes. Hi, gentlemen and thank you. I want to jump to that new potential FLNG opportunity that you’ve talked about. If you can give us a broad description of what type of opportunities are there yesterday Kosmos talked about moving forward with a sort of project through and FLNG. How this project – does this project look like to you? And are there opportunities? And how the economics compare with the contracts that we see recently in the U.S?
Iain Ross: Thanks Fotis. So first of all, the OneLNG process is pretty rigorous. So we have a number of screening projects, so projects that they go through a degree of screening to hit target returns. And we – what we’re doing is we’re targeting Fortuna-like projects. So projects where we have investment in the assets, along with perhaps, another operator or a national oil company, should it be an African based type opportunity. So we go to screening projects and then develop the solution for that case, and we’ve got a number of projects that are in various stages of that screening process and some of them are bit more advanced than others and some were doing technical work on others, and I’m just at this point, not at liberty to talk about them, on any specific detail, unfortunately.
Fotis Giannakoulis: Is there a way – can you describe as the timing or the goal of how many projects do you think that you’re going to have in the next couple of years. In the past, you have talked about five or six potential opportunities being put together by 2020. Is this still feasible? And also, yesterday, Kosmos talked about accept of the FLNG the need for an FPSO to clean the gas that will supply the FLNG. Is the FPSO part of the business of such projects, something that you would be interested or your focus would only on the FLNGs?
Iain Ross: So OneLNG is focused right now on the liquefaction of gas and the monetization of gas from floating assets. So sorry, could you just repeat the first part of your question, I actually forgotten it.
Fotis Giannakoulis: Yes. yesterday, Kosmos talked about also a need for FPSO that will be supplemented to the FLNG vessel that will supply – that will clean the gas that will feed the FLNG vessel. I was wondering, if this type of project is something that you would consider as part of your portfolio.
Iain Ross: I mean, FPSO is internally in the scope of OneLNG’s remit, but if we have to work out, how to managing FPSO as well as an FLNG vessel for the right development, we’d have a look at it, I’m sure. But as I said, I’m not going to talk about specific projects on the call, sorry.
Fotis Giannakoulis: I understand. Then can you tell us about your previous goal about potentially having five FLNG’s by 2020 arranged is this a goal that still stands how many vessels you think you can have the next three years?
Iain Ross: Yes. So that was the first part, sorry. So yes, five LNG, five projects FIDs within five years is the goal for OneLNG, that goal still stands. We would hope to take one, maybe one and half this year or what I mean by that is one nearly ready to go, so maybe one this year, maybe one early next year. And so in order to facilitate that five projects per year target, obviously, there’s effort to all going on now to try and work out, which of the projects that we want to be reaching towards FID, towards the end of 2019. And then, of course, thereafter, during 2019, work out with the next. So that’s kind of idea where we have probably a couple of projects on the go at any one time with the degree of overlap. And then as time moves on, you got another project coming in at the front end. That’s the business model. Obviously, the hard work is in realizing it and making it happen.
Fotis Giannakoulis: Thank you. I appreciate.
Operator: Our next question comes from Ken Hoexter with Merrill Lynch.
Ken Hoexter: Great, Iain. Good morning. I guess good afternoon for you. But the last quarter, you talked a bit more about Delfin Midstream and the FLNG projects in the Gulf. You talked about the FID study should be complete by the end of the first quarter. Can you give an update on that? Is that kind of part of the next phase of FLNG builds that you anticipate?
Iain Ross: So yes, it could be. The status of that is I haven’t mentioned it in the release because it’s largely unchanged. We’re still working on the FEED study, still on track to at the end of this quarter, we’ll get together with the chaps from Delfin, April, and have a bit of a workshop and see where we are with the technical solution with off-takers and with we know some of the other elements on that particular development.
Ken Hoexter: I’m sorry. So that’s waiting until April as well?
Iain Ross: Yes. I’m saying nothing’s changed. We’ve always said that we will – we would finish the FEED study this quarter and then get together with project partners in April, and I didn’t mention it because we’re still on track with that. Nothing’s changed.
Ken Hoexter: And then I just want to revisit the financing. It seems you have mentioned that the delay or the stalling a couple of times for the Fortuna. Is this really – are the banks or anybody else just waiting to see a proof of performance at Hilli? Or are there other negotiations? Or is it – are there specific terms that are still waiting to be worked out?
Iain Ross: Well, I’ll let Brian comment in a minute, but I feel that when Hilli reached its proof-of-concept and it’s commercially accepted that it’s going to open up a wider range of discussions on the technical achievement and that feasibility of this type of project. And we do believe that that will create a different landscape of conversations if you like. And you want to comment any further on that, Brian?
Brian Tienzo: Yes, Iain. I think I agree with that. I think as well in the discussions that we have, there’s no specific mention of the Hilli given the proximity of Hilli being accepted and fully commissioned, I think implicitly the banks are looking at that say – let’s similarly we as well in terms of improving economics in the various financing that maybe get that over and done with, being able to point one to one that works, it’s a much easier discussion to have been various assumptions on the operations of the Hilli.
Ken Hoexter: Perfect, Iain, Brian, thank you very much for the time. I appreciate it.
Operator: And our next question comes from Greg Lewis with Credit Suisse.
Greg Lewis: Thank you and good afternoon.
Iain Ross: Hi, Greg.
Brian Tienzo: Hi, Greg.
Greg Lewis: So clearly, it looks like there’s – you’re thinking about ways to monetize or generate shareholder value with the conventional LNG fleet. Just as I think about that and your relationship with Golar Partners, in the event that you work – in the event that the conventional LNG fleet at Golar was spun out or sold away, does that impact Golar Power – Golar Partners, your relationship with Golar Partners and your – in any way?
Brian Tienzo: Greg, it’s Brian. To some extent, not necessarily, that is, of course, as you remember, there is an omnibus agreements between Golar LNG Limited and Partners where partnership has the ability to buy assets at – from Golar LNG Limited for assets that have got contract of five years and longer. Of course, that shipping is one asset that I’ll contain in that omnibus agreement there are other assets that are included in that. As we look to structure, the shipping portfolio to try and maximize shareholder returns, it could take various different forms. And certainly, we won’t be able to – or we won’t be looking to do anything along those – or to those structures that would harm the relationship that governed by the omnibus agreement.
Greg Lewis: Okay, great. And then I mean I guess you just were talking about LNG – that LNG conventional fleet, I guess, we’re deciding to reactivate or take the Golar Viking out of layup. Should – is there going to be – what type of cost should we be thinking associated with that?
Iain Ross: No. The goal – I’ll tell you, remember, the Golar Viking was in line for almost a year I believe. The cost of taking that Golar Viking isn’t actually that material. And the reason we took it out of layup is simply because we saw an opportunity to put the vessel into what we believe to be an improving charter market, and there are no opportunities for the Golar Viking that we’re considering that you can go into.
Greg Lewis: So we should expect that vessel to be trading in the second quarter? Any guidance around what we can start thinking about actually generating revenue?
Brian Tienzo: Well, certainly, she’s operational now. And yes, so we fully expect the vessel to be contributing to EBITDA in the second quarter.
Greg Lewis: Perfect. Thank you very much.
Operator: And we’ll take our next question from Herman Hildan from Clarksons.
Herman Hildan: Good afternoon.
Iain Ross: Hi, Herman.
Brian Tienzo: Hi, Herman.
Herman Hildan: So apologies for boring a bit on the near term events around the Hilli. But you just kind of bit clear on what kind of news flow we should expect in relation to the progress of Hilli, is it going to be call it, are you going to announce when you make first LNG or call it when you’re have commercially been accepted? What news flow should we expect going forward from that asset?
Iain Ross: I would say that when we reach commercial acceptance, that’s a particularly material event for us. So we’ll definitely do something on that. In terms of production of commercial LNG, I’ve said already that it’s days away. I suppose we haven’t done it in a month or so then we’ll have to say something about that. But I – and I don’t want to be drawn, we may do something, we may not, but I don’t want to be drawn into incremental announcements. If we feel that our April start up is being materially threatened, I think we would advise something in that in terms of substantial delay, if that came up. But as I’m repeating myself now there is nothing that we are aware of at this point, that we contribute to material delay.
Herman Hildan:
. :
Iain Ross: No. Can you maybe just tighten your question a little bit, please, and be a bit more specific. I’m not sure I’m following your argument.
Herman Hildan: The LNG commodity, with your prices have increased on the back of higher oil prices, and so on and on the Fortuna project, as an example, you have a pit for the remaining 50% of the volumes on the Gunvor. The question – I’m assuming that you’re marketing those volumes. I’m just curious if you can talk a bit around how you view the LNG asset community having changed over the last six months. Obviously, prices have been fairly improved.
Iain Ross: Yes, indeed. So obviously, there’s a – there still remains somewhat of a link to Brent. We’ve seen Brent improving over the period. And importantly, the demand from China, in particular, India, coming forward and the move to gas in general, as countries electrify and both electrify and move away from less carbon-friendly sources of energy, such as coal, we think that the LNG market itself is going to continue to be quite progressive and quite an exciting market to be in. The – I guess, the question that you’re asking about Fortuna, I don’t think we want to comment on right at this point in time. I mean, our focus on Fortuna, we have the off-take sorted out for Fortuna. We have an arrangement there focus in Fortuna is getting the financing so as that we can get go on the project. Brian, anything you want to answer on that?
Brian Tienzo: I think to some extent the improvement in commodity prices exactly the kind of scenario that, that sort of 50% volume was trying to catch. And of course, we are now in a position and can say justifiably that, that was the right decision to take. I think – and of course, a lot of these colors are very long contracts. So it’s – as we see now with the Hilli, when we started – we initially started the toning agreement, the Brent-linked revenue has been justified and the same view goes with contracting the Fortuna volumes.
Herman Hildan: So it bit differently, I mean, it’s like on the West Africa, it will be LNG price. I’m not completely mistaken, should have moved from, call it, $6 FOB, six, nine months ago to more closer to $8, $9 today, correct? Or is that not something that you come from?
Iain Ross: I don’t have particular view on that.
Herman Hildan: Okay. I guess will follow up that offline. That’s all for me.
Operator: And our next question comes from Chris Wetherbee from Citi.
Chris Wetherbee: Hey, thanks for taking the question. So I wanted to talk a little bit about the Sergipe project, and just to make sure I understood you on your comments on the time line did you mentioned something about an FSRU coming on site later this year? I guess, I want to sort of understand sort of the puts and takes if you think about the 2020 sort of timing of ramp up there. But can you help me sort of understand that little bit better, I potentially just heard and wanted to make sure the FSRU timing there.
Iain Ross: So the Nanook on site later this year. She was delayed, as I understand it, from a – the delivery was delayed to do the conversion work in Korea. And I guess, all I’m reporting is there are no issues then we expect it to be delivered on-site at that point in time later this year.
Chris Wetherbee: Okay. And the timing of the project still stands? There’s no sort of significant differences there, just sort of updating on the FSRU, is that the right way to think about it?
Iain Ross: Yes, that’s exactly right. The main project we’re reporting is currently on schedule and within budget.
Chris Wetherbee: Okay, Okay. That’s helpful. I appreciate that color. And the only thing I had, which is sort of the core fleet, you brought the Viking out the layup, is there anything else you haven’t layup right now? I mean, how do you thinking about sort of that ramp as were kind of moving forward into potentially a stronger carrier market over the course of the next several quarters, potentially, several years, anything else that layup you need to bring out anything else we should be thinking about from a fleet development perspective?
Iain Ross: No, I don’t think so at this stage.
Chris Wetherbee: Okay, so would you – and just to a point of clarity, when you think about sort of strategic alternatives or sort of thinking about the carrier fleet, I guess, restructuring, the shipping assets, your thoughts on incremental capital being put to work there. I mean does that sort of play into it or is that sort of the structuring within the broader Golar housing? I just want to make sure I understand there, is the potential you could be thinking a little bit more about putting capital work there or is it more sort of the structure of it all?
Brian Tienzo: I think, Chris, I think the only thing we can say is that, there are various opportunities that we see as regards the shipping fleets – we haven’t been ourselves down to specific strategies yet, and we can’t really comment on what those structures are until we committed ourselves to it.
Chris Wetherbee: Okay, fair enough. Thanks for the time, I appreciate it.
Operator: And we have a question from Magnus Fyhr with Seaport Global.
Magnus Fyhr: Thank you. Just one question, if you can, on the LNG shipping market. We all know that we’ve seen some seasonal weakness here in rates as of late. But can you comment on your utilization during the quarter? You obviously, brought the Golar Viking back here. Is it fair to say that you’re at one point in time and 100% utilization? And can you give us a range of utilization for The Cool Pool during the fourth quarter and also, currently?
Iain Ross: I can’t really comment on specifically in The Cool Pool, Magnus. What we can say we’ve seen utilization constantly improving throughout 2017. The – you’ll note that the revenue reported this quarter is materially improved from the last quarter and of course, rate is part of that and it goes hand-in-hand with utilization. It would be wrong to assume that we’ve achieved 100% utilization in the fourth quarter, but it’s suffice to say, it’s much – it’s much materially improved. It’s somewhere between 55% to 75%.
Magnus Fyhr: Okay. Thank you. And just on the Hilli, I know you mentioned earlier that you couldn’t comment on the third train, but what’s the incremental cost for a third train and also for a fourth train on that project?
Iain Ross: Yes. There is no incremental cost really for the third and – for the third train anyway.
Brian Tienzo: And the fourth train, and you’ll remember, some extent the economics in the third train is already predicated in the Perenco contract and the fourth train economics is an invent [ph] to some extent, there may be some costs both to ourselves and Perenco to be able to do that. But if anything, the third train would be – the first priority that we would look to be able to achieve out of that project.
Magnus Fyhr: All right. Thanks for clarifying.
Operator: And have a question from Randy Giveans from Jeffries.
Randy Giveans: Hey, thanks so much. Just a few more questions on [indiscernible]. One question on the Tundra, though. Is that going to be operating in – as an FSRU? Are you putting tenders out there? Are you kind of satisfied with operating as an LNG carrier in the next year?
Iain Ross: So Tundra is, as you point out, trading in the carrier market at the moment. And we, in parallel, are continuing to look at potential projects to deploy her as an FSRU.
Randy Giveans: Okay. And then other than just getting it to that area, how long is the transfer from LNG carrier to FSRU operations? So you were to get a tender to start in June. Is that capable?
Iain Ross: It’s a very short turnaround time for being a carrier to an FSRU, so it’s not a material amount of time at all.
Randy Giveans: All right. Good luck with that, thanks again.
Operator: [Operator Instructions] We have a question from [indiscernible].
Unidentified Analyst : I just wanted to actually ask one more question on the Fortuna financing, I understand you may not be able to answer them but wanted to ask whether there’s still the three Chinese banks versus ICBC negotiating? Then what, if there’s any strategic alternative, including Schlumberger, being considered? And lastly, was actually updated negotiating in the process? If you could answer any of those, it would be very helpful.
Iain Ross: Oliver, we can’t really comment specifically on parties. We’ve not disclose those people previously. Suffice to say, there’s a range of discussions happening in the background, and we will announce specific deals as they mature. We can’t really disclose parties in there.
Unidentified Analyst: Okay, understood. Thank you very much.
Operator: And there are no further questions at this time. I would like to turn the conference back off to our speakers for any concluding remarks.
Iain Ross: All right. Just thank you all for your continued interest and support of Golar, and thank you all for your questions, and we’ll talk to you next time.
Operator: And once again, ladies and gentlemen, that concludes today’s conference. We appreciate your participation today.